Operator: Ladies and gentlemen, greetings and welcome to the XPEL, Inc. Third Quarter 2018 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, John Nesbett of IMS. Thank you. You may begin.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL's financial results for the 2018 third quarter. On the call today are Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Chief Financial Officer will provide an overview of the business operations and review the Company’s financial results. Immediately after the prepared remarks, we will take questions from our call participants. Let me take a moment to read the safe harbor statement. During the course of this call, we will make certain forward-looking statements regarding XPEL and its business, which may include, but not be limited to anticipated use of proceeds from capital transactions, expansion into new markets and execution of the Company's growth strategy. Often, but not always, forward-looking statements can be identified by the use of words such as plans, is expected, expects, scheduled, intends, contemplates, anticipates, believes, proposes or variations, including negative variations of such words and phrases or state that certain actions, events or results, may, could, would, might or will be taken, occur or be achieved. Such statements are based on the current expectations of the management of XPEL. The forward-looking events and circumstances discussed in this call may not occur by certain specified dates or at all and could differ materially as a result of known and unknown risk factors and uncertainties affecting the Company performance and acceptance of the Company’s products, economic factors, competition, the equity markets generally and many other factors beyond the control of XPEL. Although XPEL has attempted to identify important factors that could cause the actual actions, events or results to differ materially from those described in forward-looking statements, there may be other factors that can cause actions, events or results to differ from those anticipated, estimated or intended. No forward-looking statement can be guaranteed. Except as required by applicable securities laws, forward-looking statements speak only as of the date on which they are made and XPEL undertakes no obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. With that, I'll now turn the call over to Ryan Pape. Go ahead, Ryan.
Ryan Pape: Thank you, John, and good morning, everyone. Welcome also to our third quarter 2018 conference call. For the third quarter in a row, we've experienced a record revenue quarter for XPEL with revenues finishing at $29.3 million or a little over 64% growth versus third quarter of last year. As you all likely know our sequential revenue growth rates have been 99%, 69% and 64% for Q1, Q2 and Q3 respectively of this year, so clearly had exceptional revenue performance in each quarter. I'm really pleased with the Q3 performance. China's revenue mix was about 27% of our total revenue for the quarter which is a little lower than our Q1 and Q2 trends of 30% plus or minus, yet we still had another record quarter. I think this demonstrates how strongly we performed in our other regions including the U.S. and Europe. So as we've been saying all year long, we do expect our overall revenue growth rates to moderate, we expected a bit more moderation in Q3 however, we really didn't see it. So it could have been some pull forward from Q4. However October was very strong from a revenue standpoint so that hasn't happened yet, still we would expect Q4 to come in at a lower growth rate. However, we continue to be very pleased with the underlying fundamentals of the business and the ongoing demand for the products and services we’re seeing really in every geography. We continue to monitor the impact to trade policy particularly on our China business as we talked about previously to date. We haven't seen any real impact from the trade or tariff situation, but we’ll obviously continue to monitor that. Q4 was the strongest quarter for China in 2017 so on a year-over-year basis we'll see China growth moderate some in Q4 and in the next year. And the overall macroeconomic news out of China is mixed particularly in the auto sector but signs from our partner in China remain very positive. Gross margin for the quarter improved to 30.1% which is really a welcome development and something we obviously been talking about. We continue to see improvements in our non-bill materials costs that affect COGS, but we’ve also seen improvement in our actual product gross margin resulting from a combination of price increases and cost synergies. So this continues to be a top focus for the company and really happy about that number for this quarter. SG&A for the quarter finished at 19.9% of revenue. As I mentioned previously we’re targeting SG&A to be 18% of revenue. So, it will still going to bounce around a bit in the near term, but we think that 18% target still strikes the balance between driving our operating leverage and our desire to continue to invest in the business. We have some one-time expense in Q3 that bumped that SG&A number up a bit higher Barry will cover through that but that still our target. EBIT side we finished at $3.4 million for the quarter a 11.6% of revenue. Net income came in at $2.2 million or $0.08 a share. We continue to focus on gross margin and hitting that SG&A target I think there still substantial opportunity to create more bottom line leverage. As we announced yesterday, we're excited to establish a local presence in Asia with the acquisition of Apogee Corporation. This was our Taiwan base distributor and with that acquisition Christine Pu who is Apogee's Founder and CEO joins our management team and will run our Asia operations. She has extensive experience along with her team and paint protection in and window film business. And as many of you know our strategy around the foundation of our international business is to bring on the best people that we have an established relationship with to help lead our global operations. Now that is our first consideration when looking at these in the geography of local market dynamics are really secondary to that in terms of how we look at this. You may recall that we began our European business in the U.K. which was due to having the right people that we knew and trusted. We wanted to join the team and only later did we expand in the Continental Europe. So Apogee was operating in Taiwan and serving customers directly in Taiwan, Hong Kong and Macau. So this business is entirely separate from our distributor in Mainland, China and will obviously benefit from improved gross margin profile in the areas we will now serve directly although that business is relatively small. There will not be any immediate impact on our China business. However, clearly one of our objectives here is to set us up better to serve China over time as it might be beneficial to how we can influence growth rate at long-term economic with that market. And there are things that we will be doing in Taiwan to assist our partner in China that we just can't easily do from the U.S. Initially our objective is to serve those three markets well directly and use our new team in the region to help our efforts to better develop all the countries in Asia region. We’ll make additional decisions over time regarding possible acquisition of other distributors in the area or whether to establish our own operations or to redouble our support for our existing other distributors in the area. If the strategy it’s been working very well for us in the development of the European business and we’ll apply that here as well. In Europe, we continue to build out our sales team. We are adding in country sales team members in key countries with local knowledge. So we've got dedicated sales team members in four countries now with more plans. So really pleased with how that business is going. It was a great quarter for us. We continue to have great momentum heading into the end of the year and the beginning of next year. So with that, I will turn over to Barry. Barry?
Barry Wood: Thanks Ryan and good morning everyone. As Ryan mentioned it was another record-breaking quarter for the company. Revenues grew 64.3% versus second quarter 2017 to $29.3 million which was sequentially higher than Q2 revenue by about little over $400,000. On a year-to-date basis revenues grew 75.4%. Once again we saw growth across all product lines strong growth across all product lines but PPF continues to dominate the growth mix coming in at 76.7% growth quarter-over-quarter. Window film was 7.3% of total Q2 revenue and grew 15.5% quarter-over-quarter. We had a rather large window film order in China in Q3 last year which is somewhat masking this quarter's growth rate in this product line but we continue to be extremely pleased with our window film product line performance. Looking ahead from our operating segment perspective, Europe revenues more than doubled and growth rates in the U.S. and rest of world continue to be robust. Canadian revenue grew 13.3% versus the quarter - in the quarter and 42.8% on a year-to-date basis. Some Canada revenue was shifted ahead to Q2, so Q3 was slightly lower, which is part of the reason why we saw a strong Q2 in Canada last quarter. And as Ryan mentioned our tighter mix moderate slightly represented approximately 27% of our total Q3 revenue. Gross margin for the quarter more than doubled to $8.8 million, an increase of percentage of sales to 30.1% versus prior year quarter of 23.8%. And as many of you will recall, we incurred some one-time costs in Q3 last year related to SKU consolidation and warehouse consolidation initiatives which impacted our gross margin. When you normalize for that, our gross margin in Q3 last year would have been about 27%. So we're pretty pleased with our continued improvement this year. This quarter's gross margin numbers also included about $180,000 of costs that we do not expect to recur in future quarters. And despite that we're still able to achieve 30.1% gross margin which I think speaks to the progress we're making in this area. As Ryan mentioned, we're beginning to see improvements in our product margins in addition to some of our continued improvement on our non-product COGS items. And gross margin enhancement continues to be a top priority for us as we expect to show improvement going forward. SG&A expenses for the quarter increased 63.8% versus prior year quarter and we're relatively flat as percent of revenue coming in at 19.9% versus 20% the prior year quarter. On a year-to-date basis, SG&A expenses grew 55.2% versus prior year-to-date. For the quarter we experienced rather substantial growth in personnel sales and marketing costs and professional fees. And as we said before we continue to invest in the business and our professional fees were higher due mainly to several project related costs, some legal costs related to our acquisitions and generally just higher overall general corporate legal costs, and also increases in our audit fees in connection with our auditor change. Included in SG&A for the quarter are approximately $300,000 of non-recurring costs related to some marketing expense in support of our distributor in China. We also completed a transfer pricing study and we incurred some severance costs as we continue to refine the organization to further position to growth. If we normalize these items we clearly would have been much closer to our 18% SG&A target. So we feel pretty good about where we are. EBITDA margin for the quarter was 11.6%, and increased $2.2 million to $3.4 million versus prior year quarter. Sequentially our EBITDA was approximately same as Q2 if you normalize for the one-time items I mentioned previously. On a year-to-date basis, EBITDA increased $7 million to $10.2 million versus Q3, 2017. And year-to-date EBITDA margin finished at 12.3%. Net income for the quarter was approximately $2.2 million or 7.4% of revenue compared with $445,000 in prior year quarter. On a year-to-date basis, net income finished at $6.7 million or 8% of revenue versus $1.1 million in the prior year. Cash flow from operations for the quarter was $3 million and $4.9 million on a year-to-date basis compared with cash flow used in operations of $3.5 million in the prior year 2017 period. This is pretty much basically attributable to our strong operating performance during the year and we continue as part of this to focus on our cash conversion cycle to continue to drive continued improvements in operating cash flows as we move forward. I'll also note that our revolving line of credit balance remains at zero as the business continues to generate enough cash for our working capital needs. Our financial position is strong and we're poised to accommodate ongoing growth and investments in business as we move forward. Finally, as we announced a few weeks ago, we have appointed Baker Tilly as our new auditor, replacing RSM Canada. Since our headquarters and the majority of our operations are based in the U.S. and a substantial part of our shareholder base resides in the U.S., it just makes sense to align with the U.S. based auditor. Baker Tilly is a nationally recognized firm and one of the 15 largest accounting firms in the country and we're very excited to be working with them. So all-in-all, solid quarter for the Company, and we look forward to closing up the year strong. And with that, operator, we'll now open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Brock Erwin from CleverInvesting. You are now live.
Brock Erwin: Yes, I was just wondering if you could give an update on what your current market penetration specifically in the U.S. looks like and maybe you can give us some color on how you measure that and like just relative to competitors?
Ryan Pape: Yes, well I think, as an industry in the U.S. market, we feel fairly comfortable that there's a 5% to 7% penetration rate of paint protection film products to new cars sold. Beyond that we've got a lot of data points that we look at to try and estimate our market share and penetration into specific makes and other things. But it's sort of imperfect picture. So it's not something we're in the habit of updating recently but we approximate our internal numbers for the penetration and market share around data that we get which includes warranty registration data, includes data from our DAP software, and then potentially even product sales where that's sort of identifiable in a certain way.
Brock Erwin: Yes, so I mean obviously like the market itself is growing and your brand has helped to create awareness with consumers about paint protection in general. But like I'm just trying to understand like how you're doing relative to your competitors? Maybe it's a hard thing to measure but you guys probably are in a better position to understand that than anybody else?
Ryan Pape: Well, yes. I mean, so we obviously know when we win market share from competitors on a deal-by-deal basis. So that's something that we look at internally. You have to overlay on that the fact that those individual customers may have been growing faster or slower than the rest of the industry in and of themselves at the time that we won that business. So, you don't end up with a real high confidence number in terms of where you end up with market share or where exactly that growth is coming from, which is one of the reasons we don't offer that on a regular basis. But our sense overall when you look at our U.S. business, just as one example, is been growing quite well this year, lower than our overall top line. But we know in that that a portion of that is to winning business from competitors but I also think that the industry overall is probably growing a bit faster than a lot of people estimate. I think there's a tendency to sort of underestimate the growth of the industry as well but we feel very confident that we're a net winner of business even today from sort of that competitive cycle.
Brock Erwin: If you had to estimate like what percentage of the market share you guys have in the U.S. could you do that?
Ryan Pape: Well, we have our internal estimates but it's not something that we're comfortable to share at this point just due to confidence that we have in that. But we use it for our internal purposes.
Operator: [Operator Instructions] Our next question comes from the line of Adam Goldstein, a Private Investor. You're now live.
Unidentified Analyst: XPEL now has three basic product types. Paint protection film, automotive window film, and architectural glass film. Could you talk about the existing market size for each of these product types and what type of future growth you expect from each of these markets?
Ryan Pape: Sure. I think it's very well understood that both the automotive window film business and then the architectural window film business are both very large markets. And I'll - sort of quote some of the research that's out there but it's out there. And obviously the percentage of our business that we have in either of those two areas, automotive was over 7% revenue for the quarter and architectural is very, very small going into next year. So our expectation is that those are both incredible growth areas for us over time and that each of those respectively over time should become a meaningful portion of revenue. We've seen exceptional growth on paint protection and that helps sort of even constrain the percentage of revenue from our automotive window film but we still expect over time that as a percentage of sales we're going to see both of those areas grow and be a material portion of total sales.
Operator: Thank you. Ladies and gentlemen we have no further questions in queue at this time. I'd like to turn the floor back over to Management for closing.
Ryan Pape: Want to thank everybody for participating and we look forward to speaking with you next year. Thank you.
Operator: Thank you ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.